Operator: Good afternoon. Thank you for attending today's Second Quarter 2025 Marchex Earnings Conference Call. My name is Victoria, and I'll be your moderator today. [Operator Instructions] I would now like to pass the conference over to our host, Trevor Caldwell. Thank you. You may proceed.
Trevor Caldwell: Thank you, Victoria. Good afternoon, everyone, and welcome to Marchex's Business Update and Second Quarter 2025 Conference Call. Joining us today are Edwin Miller, our CEO; Russ Horowitz, our Chairman of the Board; and Brian Nagle, our SVP, Corporate Controller. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements, including references to our financial and operational performance, and actual results may differ materially from those contemplated by these forward-looking statements. Risks and uncertainties that could cause these results to differ materially are set forth in today's earnings press release and in our most recent annual and quarterly report filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements for subsequent events. During this call, we will present both GAAP and non-GAAP financial measures. Reconciliation of GAAP to non-GAAP measures is included in today's earnings press release. The earnings press release is available in the Investor Relations section of our website. At this time, I want to turn the call over to Edwin.
Edwin A. Miller: Hello, and thank you, Trevor. The second quarter saw continued progress toward making 2025 an inflection point for our company based on technical and product developments. We also saw acceleration in our transition to investing in the go-forward growth initiatives. From signing new partnerships with Fortune 500 companies that expand our market opportunity to launching our first channel partnerships, we are continuing to position our business to drive for future growth. We launched our new innovative Marchex Engage platform, the result of our OneStack initiative, which offers a new user interface that is both easy to configure and use, all while streaming customer access -- streamlining customer access to new AI signals and solutions that will enable simple click-to-purchase capability. Higher level, Marchex offers our conversation intelligence platform on a Software-as-a-Service model, where customers pay for AI-derived actionable intelligence specific to their customer prospects and desired outcomes, including increased revenue and improved business performance. We have a core focus on select very large vertical markets where the combination of our unique capabilities, combined with first- party data, create unique solutions for world-class marketing-leading companies. To that end, we deliver industry-specific AI solutions for automotive, auto services, home services, health care and advertising and media as well as other industries. Our AI-driven conversation intelligence platform integrates universal and industry AI models, delivering outcomes such as CSAT scores and lead value with extensive API integrations and industry-specific applications. The Engage platform is driven by agentic AI and enables any client to easily understand their insights to action path, allowing business leaders across multiple functions to make complex decisions leveraging prescriptive analytics across the full customer journey. All of these new products and features are key components of our go-forward growth strategy. Overall, our AI-driven products revolve around the mission of understanding and capitalizing on customer conversations and leveraging first-party data for our customers' strategic and financial benefit. Whether it's a marketing VP trying to attribute revenue, a sales director managing a team of agents, or a digital strategist looking to unify online and off-line data, the Marchex Engage platform provides targeted solutions powered by our underlying AI insights to action engine. This unified and modular approach with one platform and multiple solutions means clients can begin with one use case, such as marketing attribution and incrementally expand to others such as service departments and customer engagement, all while utilizing the same platform. This is the key advantage of our having a rich AI-powered platform. The data and the models can be leveraged in numerous ways and add differentiated value across multiple departments and organizational functions, driving our critical insights into the key actions that enable our customers to achieve measurable high-value impact outcomes. With that, I'll turn the call over to Brian to provide an overview of the second quarter financial results.
Brian Nagle: Thank you, Edwin. Revenue for the second quarter of 2025 was $11.7 million, which is up from $11.4 million for the first quarter of 2025. We saw a favorable impact of new sales and some upsells benefit the company in the period. We did also see some offsets to that growth due to migration activities from our legacy platforms onto our new Marchex Engage platform. For operating expenditures, we saw efficiencies throughout the business as we had a full quarter of benefit from the realignment of the organization that took place in the first quarter of 2025 following the completion of certain primary OneStack initiatives. We anticipate that our gross profit margins can continue to improve as we are carrying an overall lower cost structure going forward, which could enable meaningful future operating and financial leverage for the business as new products and features sell through. On the balance sheet, cash rose to $10.5 million from $10 million at the end of the first quarter of 2025. We anticipate the third quarter to see cash balances stable to favorable relative to the second quarter amounts. During the second quarter of 2025, the company reported positive net income of approximately $100,000. Moving to guidance. We currently anticipate that both revenue and adjusted EBITDA will sequentially increase in the third quarter of 2025 as compared to the second quarter of 2025, with adjusted EBITDA potentially increasing by more than 50% over the second quarter levels. We also currently anticipate that both revenue and adjusted EBITDA will be sequentially lower in the fourth quarter of 2025 as compared to the third quarter of 2025 due to the revenue impact of certain customers not migrating, anticipated seasonality and current macroeconomic factors, which it is anticipated will delay the achievement of Marchex's annual revenue and adjusted EBITDA run rate goals previously set for 2025. Throughout 2025, we have seen operating efficiency benefits begin to highlight the magnitude of our operating leverage, but we have also had to overcome migration, revenue dilution based on the timing and success of more than 1,000 customers to the new Engage platform. Though the migration has been mostly completed at this stage, this does have short-term impacts on revenue, including ancillary factors such as timing of new sale launches and product utilization. Also, as noted in our first quarter earnings release, the current macroeconomic environment continues to bring increased uncertainty with customers and prospects. Furthermore, new federal tariffs on imports have begun to have an adverse impact on various industries and vertical markets in which the company operates, including automotive and auto services. These conditions make predicting actual 2025 performance and timing more difficult. The company will continue to execute on its 2025 strategic plan, which we believe will lead to more success with new sales to existing and new customers, but we acknowledge these conditions raise increased uncertainty regarding customer impacts. And as a result, actual financial results may be more variable in terms of revenue and adjusted EBITDA as reflected above. With that, I will hand the call back to Edwin.
Edwin A. Miller: Thank you, Brian. The Marchex leadership team is highly focused on delivering value for our customers, employees and shareholders. My sincere appreciation is extended to all members of the Marchex team for their significant efforts this year. I'm energized by the progress we are making. And as we continue to execute on our key initiatives, we believe we are well positioned to successfully deliver on our key strategic and financial goals. With that, I'll hand the call back to the operator.
Operator: [Operator Instructions] Our first question comes from the line of Mike Latimore with Copeland Capital Markets (sic) [ Northland Capital Markets ].
Vijay Devar: This is Vijay Devar for Mike Latimore from Northland Capital Markets. So a couple of questions on that. Did bookings improve sequentially in the second quarter?
Edwin A. Miller: Could you repeat that question? I'm sorry, we couldn't hear you.
Russell C. Horowitz: Yes, the line was...
Vijay Devar: I was asking about -- okay, sorry, it's about bookings. Did bookings improve sequentially in the second quarter?
Russell C. Horowitz: Yes. This is Russell. Thanks for the question. Yes, our sales or ACV was sequentially higher.
Vijay Devar: Okay. And any comments on the pipeline?
Russell C. Horowitz: Yes. This is Russell again. On the product lines, we tried to lay that out in our press release communications regarding both the progress with the migration, what specifically has been launched year-to-date and what launches are impending. And so we talked about the Engage platform, formerly OneStack is live. The new UI is live, and these are foundational elements on which we're launching new products, which we think are key drivers of expanding ACV and sales and driving growth. Upcoming, we have Benchmarking, Marchex GPT and Agent Assist, which we've highlighted as 3 that we think will really help us accelerate, all of which will launch between now and the end of the year. And we're eager to get those out and in front of as many customers as soon as possible as well. We also, going into last quarter, announced some of our vertical-specific signals, which were in the home services area category or vertical. And today, we announced the very recent launch of vertical signals in the health care industry. So all of these collectively come together to allow us to sell forward-looking innovative products that we think are value impacting for a lot of our customers. So it's one of the reasons why we feel good about our opportunity to expand the pipeline and sell more, particularly as we go into '26.
Vijay Devar: Okay. And finally, how is the demand for your service use case versus sales?
Russell C. Horowitz: I'm sorry, could you repeat that, please?
Vijay Devar: How is demand for your service use case versus sales?
Russell C. Horowitz: Well, for service -- right, correct. So yes, with Engage for sales and service, which we launched coming out of last quarter, we're in market. We are seeing, call it, increasing average revenue per sale associated with that and additional uptake as part of our channel efforts with auto dealers. Edwin, anything you want to add there?
Edwin A. Miller: No, that's a good answer.
Russell C. Horowitz: We're excited about Ford and the expansion of the channel to be able to give us a bigger footprint of opportunity. And again, it's another foundational piece of what we think positions us well to get more penetration and more wallet share with our customers as we finish the migration, launch the new products and sell more going into '26 as we exit this year.
Operator: [Operator Instructions] There are no questions registered at this time. So I would now like to pass the conference back over to Trevor for closing remarks.
Edwin A. Miller: Thank you so much for -- to our shareholders for joining the call today. We look forward to having conversations with you in the future.
Russell C. Horowitz: Thank you, everyone.
Operator: That concludes today's call. Thank you for your participation, and enjoy the rest of your day.